Operator: Good evening, ladies and gentlemen. Welcome to the Martinrea International First Quarter Results Conference Call. Instructions for submitting questions will be provided to you later in the call. I would now like to turn the call over to Mr. Rob Wildeboer. Please go ahead, sir.
Rob Wildeboer: Good evening, everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer questions. We also note that we have many other stakeholders, including many employees on the call and our remarks are addressed to them as well as we disseminate our results and commentary through our network. With me are Pat D'Eramo, Martinrea's CEO and President; and our CFO, Fred Di Tosto. Today, we will be discussing Martinrea's results for the quarter ended March 31, 2023. I refer you to our usual disclaimer in our press release and filed documents. Pat will speak, then Fred, then me, and then we will do some Q&A. And now, here is Pat.
Pat D'Eramo: Thanks, Rob. Good evening, everyone. As noted in our press release, we generate an adjusted net earnings per share of $0.54 and an adjusted operating income of $75 million in Q1, up approximately 7% over the previous quarter and 70% year-over-year compared to the first quarter of 2022. Production sales came in at $1.24 billion, up 6% over the previous quarter and 12% year-over-year. Adjusted EBITDA of $153 million was another quarterly record for the company. Adjusted operating income margin came in at 5.8%, a step up from the 5.5% we generated in Q4, reflecting a lower level of tooling sales, which typically earn lower margins for the company. Overall, our Q1 performance was solid in the face of some ongoing challenges. Most notably, production volume instability continued to be an issue in the first quarter, as we experienced production disruptions with some key programs having long periods of unplanned downtime due to the supply issues affecting multiple plants and multiple locations. While our overall production sales improved, sales and margins were below what they otherwise would've been in a smooth environment, thereby delaying progress to an extent. Of course, we continue normal improvements in our operations despite these ongoing supply chain disruptions. We also continue to face inflationary cost headwinds, although improved in some areas of the business compared to last year. Efforts to offset these inflationary costs commercially are ongoing and will likely continue for the foreseeable future as we try to find ways to counter the headwinds being created by the instability in the current environment. Looking forward, we continue to expect 2023 to be better year-over-year with higher production volumes, margins, and free cash flow compared to 2022 and what we expect are the early stages of a strong cycle with most of our plans running at capacity. As such, our 2023 outlook is unchanged. As a reminder, this outlook calls for total sales to be between $4.8 billion and $5 billion, adjusted operating income margin to be between 6% and 7% and free cash flow to be in between $150 million and $200 million. As you know, we are particularly focused on free cash flow and we're excited about the prospect of ushering in a new phase in the evolution of our company, establishing ourselves as an effective and consistent generator of free cash flow. Looking at our global operations, in North America, our adjusted operating income margin improved by 190 basis points quarter-over-quarter in Q1, on higher production sales and favorable commercial settlements with our customers, as well as a lower level of tooling sales in the quarter. We are operating at a healthy margin level in North America and we are seeing the expected benefit from the normalization of launch activity and ramp up of volumes on new programs, although OEM production volume instability continues to be a challenge. Turning to Europe. Adjusted operating income was essentially a breakeven in the quarter, a notable decline from our prior quarter reflecting a lower level of commercial settlements, uneven production schedules with key customers and some operating issues partly due to launching multiple programs concurrently. You'll recall that in Q4, we concluded several commercial agreements in favorable terms related to the recovery of 2022 energy costs, which had a positive impact on our margins in this segment in Q4. While the expected recovery in our European results has been somewhat uneven, we expect volumes to level and results to improve in the coming quarters. In our rest of world operations, a small portion of our overall business representing approximately 3% of our Q1 production sales. Adjusted operating income declined quarter-over-quarter given lower than expected production volumes in China with two key customers. This was partially offset by indirect cost recoveries in Brazil. At this point, production volumes in China are not trending as expected. As a result, we are working with our customers to address the issue. I'm pleased to announce that we have been awarded $70 million in new business since our last call, consisting of $50 million in our Lightweight Structures, Commercial Group on GM's new electric pickup truck and $20 million in our Propulsion Systems group with GM and Tesla. Since the beginning of 2022, we have secured approximately $250 million in new business, in addition to being awarded another $250 million in replacement business. We are winning an increasing amount of work on electric vehicle platforms and have launched or will soon be launching programs including the Mercedes-Benz EVA II platform, GM's new BEV3 and the EV pickup truck, and the Audi PPE among others. Some of this work is complex as it involves combining unlike materials using advanced joining methods, what we refer to as breakthrough technologies. This offers a high degree of value-add for our customers. Over the next year, we expect a quarter of our sales to come from EV or hybrid programs, and we see this potentially growing to half of our sales over the next several years. At the same time, we continue to see internal combustion engine vehicles as an important piece of the market in the foreseeable future. As those who have been following our story are aware, our business is largely agnostic to the propulsion type, which means that whatever pace the transition is to EVs our products will remain relevant. Lastly, I wanted to touch on the recently completed VoltaXplore transaction where we sold our 50% equity stake in the VoltaXplore joint venture to NanoXplore for an aggregate equity consideration of $10 million paid in NanoXplore shares resulting in a gain on disposal of $5.3 million as reflected in our financial statements. Post-transaction NanoXplore now owns 100% of the equity in the intellectual property in VoltaXplore and we increased our equity ownership in NanoXplore from 21.1% to 22.7%. We also extended our existing graphing supply agreement with NanoXplore by another five years or to 2033. Over the last two years, Martinrea and NanoXplore partnered to construct and launch a demonstration facility showcasing the value proposition of graphine enhanced lithium ion batteries. Together, we created value within the joint venture. Now, as VoltaXplore looks to take the next steps towards building a battery facility, including securing financing commitments, the JV partners decided that it is in VoltaXplore's best interest to engage with partners that can offer a deeper level of financial support. From Martinrea's perspective, we concluded we are not interested in building a battery plant based on our capital allocation strategy being focused elsewhere. We continue to believe in graphene and all its benefits. While we have decided not to actively participate in the construction of the battery plant, we will still see benefit from any success at VoltaXplore through our enhanced equity position in NanoXplore, and we will also continue to work with NanoXplore to develop graphene-based solutions within Martinrea. True to the mandate we have set out for Martinrea Innovation Development or MIND, we have helped the VoltaXplore flourish through the incubation phase with operational support, manufacturing know-how and financial commitments that has enabled the joint venture to establish a demonstration facility and prove its technology. With the VoltaXplore demonstration facility now established, we wish the team the best as they continue to capitalize on this exciting technology. We are happy to continue to be along for the ride through our equity stake in NanoXplore. In closing, I'm very happy with the work our team is doing. The challenges our industry continue to face from supply chain shortages, production disruptions and cost inflation have persisted for longer than anyone could have reasonably expected. Our people have persevered keeping focus on doing the hard work that needs to be done to continue to progress toward better days ahead. I want to sincerely thank and applaud our people for all of their efforts. With that, I'll pass it to Fred.
Fred Di Tosto: Thanks, Pat, and good evening, everyone. As Pat indicated, our financial results in the first quarter were solid with adjusted EBITDA setting another quarterly record. While our company and the auto industry in general continues to deal with ongoing challenges from uneven production schedules, supply chain issues, cost inflation, and tight labor market conditions, we have made and are making progress in offsetting these headwinds, improving our margin profile through strong operational execution and commercial activity. We expect further improvement over time as supply chain disruption subside inflation normalizes and production volumes smooth out. As Pat noted, our outlook is unchanged, which calls for higher year-over-year production volumes, sales, margins, and most importantly, free cash flow in 2023. Taking a closer look at our performance quarter-over-quarter, production sales increased 6% on higher production volumes. As Pat noted, we continue to experience production-related volume disruptions in the quarter impacting results. Although overall volumes are up quarter-over-quarter, volume instability did not really improve. Volumes and volume instability are expected to improve in the coming quarters and production should continue to trend higher although given the continued volatility in the environment, it is unclear what pace and shape that expected improvement will take. Adjusted operating income margin came in at 5.8% better than the 5.5% we generated last quarter due as Pat noted to a lower level of tooling sales during the quarter, which tend to earn no to low margins. Adjusted earnings per share was $0.54 in Q1, lower than the $0.58 generated in Q4 and reflective on unusually low tax rate and a $3 million foreign exchange gain in the fourth quarter, which is now repeated in the first quarter. Normalizing for FX and the tax rate adjusted EPS in Q4 2022 would've been $0.52 compared to the $0.54 we generated in Q1 of 2023. Free cash flow was negative $32 million reflected an increase in working capital. This was not unexpected as we typically build working capital in the first quarter and release it through the remainder of the year. We expect to generate positive free cash flow in the coming quarters as our 2023 outlook complies driven in part by lower CapEx in line with depreciation amortization as a percentage of sales. We note that cash CapEx was essentially in this range in Q1 and a significant improvement over Q4. Looking at our performance on a year-over-year basis, first quarter adjusted operating income of $75 million was up 70% over Q1 of 2022, on production sales that were 12% higher. Recall at this time last year, we were just beginning to dig ourselves out of a low point in our industry when supply-related production disruptions were at their worst. Still, the strong year-over-year performance is nice to see, especially free cash flow, which was negative $52 million in Q1 of 2022 compared to negative $32 million in Q1 of 2023, a nice improvement. We expect further gains over the balance of the year as we deliver on our 2023 targets. Turning to our balance sheet. Net debt increased by $47 million quarter-over-quarter to $956 million in Q1. The increase was driven by a seasonal increase in working capital as noted earlier. Our net debt to EBITDA ratio continued this downward trend ending the quarter at 1.9x down from 1.95x at the end of Q4 of 2022 and 2.43x at the end of Q3 of 2022. We are at a comfortable level well below our covenant maximum of 3x. Our leverage ratio should naturally improve in the coming quarters as we generate an increasing amount of EBITDA and free cash flow. We expect to continue to trend towards our target range of 1.5x plus or minus over the coming quarters. Portion of our free cash flow will go towards debt repayment. We have noted publicly we also put a normal course issuer bid in place late last month and our expectation is that we'll be buying back some stock at these levels over time. And with that, and now I'll turn it back over to Rob.
Rob Wildeboer: Thanks, guys. I have only two points to cover and I'm going to be brief. I know it's Stanley Cup season. There's some good hockey to watch tonight, so let's get to it. One is the resilience and strength of our Martinrea team. I want to talk about hockey. Last Thursday, I was at the Leafs playoff hockey game, a 4-2 loss by the Maple Leafs to Tampa Bay in an elimination game for Tampa. I was disappointed. I came home and there were my 2022 tax forms for me and my family members and before I went to bed, I reviewed them. I know what you're thinking, what a loser, but I got the work done. The next morning, I was reflecting and I told my son, you know son, there are three certain things in life: debt, taxes and Maple Leafs playoff collapses. It even rhymes. By the way, I’m very happy at least then broke the traditional collapsing in the first round. But then I was thinking, hockey is a sport played by men, at least in the NHL who are really grown up boys playing a game. There's work and sacrifice and challenges and tough losses and sometimes great results. There are losers and there are winners, and frankly, there are many more teams that don't win their final game. Success in this sport comes from teamwork, working together to achieve results, learning from mistakes, resilience, et cetera. And then, I was thinking about our team and Martinrea. Last year on this call, I spent some time talking about the world we live in, in two characteristics of our team, resilience and entrepreneurship, two of our leading qualities. Entrepreneurship means ownership. We own what we do. So then I thought about us as a sports team. I believe someone has said business is the ultimate team sport. Whether the ultimate sports, I don't know, but it is certainly a team sport. And we have Martinrea are really, really good at our sport. We excel in what we do, industry-leading safety statistics, tremendous growth over the pandemic. We can make anything well. We are really, really good at making things, industry-leading, employee satisfaction. Coming out of the pandemic and industry supply shortages, high levels of sales, earnings, operating income margin, EBITDA margin, leading many of our peers, Pat and Fred went over the results and frankly, they're really good. Our team at Martinrea is resilient. Our team culture is outstanding. We find ways to get things done. We do not have playoff collapses. We don't choke when the going gets tough, we dig in and perform. Our people show up every day, every game. You will get our best. We are winners. I put the character of our team at Martinrea up against any sports team. And if you don't believe us, ask some of our competitors if we're good competition. I believe we are very tough to beat at what we do. And one more thing, we love this game. We love what we do and we excel at it. You know our history time doesn't permit, but I'm happy anytime to give a blow by blow of our history over the past 20 or so years where we've been one of the fastest growing companies in our industry and we are stronger today than we have ever been. We're winners in the infinite game of sustainable business. The second area I would like to address briefly is our upcoming shareholder meeting. Our AGM will occur on June 6, and proxy materials will be posted shortly. The message to shareholders is to me an important one. It reminds all of us of our culture and its strengths, highlights of the past year and our approach to governance. These are important messages for us all to reflect upon. Please read the message. Now it's time for questions. We see we have shareholders, analysts, and competitors on the phone, but also employees. So we may have to be a little careful with our answers, but we'll answer what we can. Thank you all for calling.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. Our next -- first question is from David Ocampo from Cormark Securities. Please go ahead.
David Ocampo: You guys talked about and touched on that you guys are still experiencing production issues or disruptions with the scheduling. I was just curious if you guys can quantify if we are 10%, 50%, or 75% of the peak that we saw last year. And I guess I'm just trying to get a sense on when you guys can start reinstating your quarterly guidance numbers.
Rob Wildeboer: Quantifying the impact of the volume stability is actually quite tough to do it because it's in various places, various programs. It's not necessarily full week shutdowns anymore, which is -- which was the common theme back in 2021 and parts of 2022. It's also just lower volumes. We enter in the week thinking that the customer will pull X and they end up pulling X less a certain percentage. So we're not going to go there. But needless to say, it's been an impact on us and continued to be one in Q1.
David Ocampo: And I guess you guys don't have enough visibility for the Q2 to provide any quarterly numbers there?
Rob Wildeboer: No. We actually like the idea of not doing quarterly guidance and seeing what you guys are doing with your stuff and you guys are good at it. So in that context, there's -- it's not just chips. There's some other things and we may have a UAW strike in the second half of the year or whatever. I think we'll probably resolve that. There's always something, but overall the trend line, as we say is up and to the right despite what we're seeing with interest rates, which we think was ridiculous for the Fed to raise rates in the U.S. again. I think at some point they're going to realize that, but the underlying economy in the United States is good. There's pent-up demand. The April SAR numbers were really quite good. So there's a lot of positive stuff and as there is demand there and as we work through production issues, we'll smooth out a number of those things. But it is better than it was before. We think it's going to get better and we'll see that as we go month by month.
Pat D'Eramo: Yes. I would say that most of the disruptions are not chips. They're other supply issues that were below the water during the chip issues. And we discussed that. This is probably somewhat predictable though. It seems to linger longer than we expected, but it's not -- I would argue it's not primarily chips anymore, at least not that what we're seeing.
David Ocampo: Got it. That makes sense. So then Fred or Pat, I mean you guys have at least for the last three quarters, have been announcing quite a bit of EV awards. I guess I'm curious the content per vehicle on those platforms, are they greater than what you would've otherwise experienced for ICE? And just curious about the margin profile in those awards as well. Are they consistent with the overall business of the 6% to 7%, are they materially higher?
Pat D'Eramo: I would say in our Lightweight Structures Group, as far as the type of parts, the assemblies and those types of things very similar, differences in design a little bit more, more unlike materials more aluminum, more castings, more high strength steels than we would see otherwise. But the basic design, if you look side by side are very similar until you get close and realize one's a lot later.
Fred Di Tosto: And I think from a margin perspective broadly speaking, of course, there's always some anomalies both up and down, but our expectations are that the margin profile and returns are going to be similar for these investments in EVs. So going forward, you shouldn't expect any huge variation. As Pat noted, some of these products are a little bit more complex. So in those type of situations where you got more value-add, you potentially can make more money, but ultimately, generally speaking, we're targeting similar margins and returns.
David Ocampo: That's perfect. That's my two questions. I'll pass the line over.
Rob Wildeboer: Thanks very much.
Operator: Thank you. Our next question is from Michael Glen from Raymond James. Please go ahead.
Michael Glen: Okay. Good evening. So Pat, if I'm circling back to the last conference call, the 4Q conference call you, you described Q2 during that call as a real test of everything that you've been put in place and all of the efforts you've been putting together. So as I think of the way Q1 transitions into Q2, are you still expecting us to see some of these -- some more significant contributions come in to play in terms of how we progress towards that 6% to 7% margin?
Pat D'Eramo: I think we'll see some progress. But the fluctuation from the customers, I can't predict unfortunately. I would tell you it was greater in Q1 than anticipated, I think than most anybody anticipated. So if production smooths certainly I think Q2 is going to be a good quarter. If continues to be bumpy, we'll have to adjust based on that bumpiness. Now, also what I had said, if you recall is prior to the pandemic, Q2 was always the high volume quarter annually. But during the pandemic that was not the case. So one of the questions or thoughts was, you know what at some point it's going to start to look more normal again and Q2 will be a higher -- be the highest quarter out there. I don't think it'll necessarily be the highest quarter this year based on what we're seeing, but I think it will be a better quarter than what we've seen as far as the customer goes. And we've seen some more consistency in some of the plants that were disruptive in the first quarter already this quarter, but we're not even halfway through it, so we'll have to wait and see.
Rob Wildeboer: Yes. It used to be Q3 was the weakest quarter. That hasn't been the case in the recent past. And I don't think you can predict that this year. We think Q3 could be quite strong too.
Pat D'Eramo: Yes, I do think in time it will start to look more like it did before the pandemic. But a lot of these disruptions that are being seen when you start to whittle away, it boils down to in a lot of cases manpower Tier 2 and Tier 3s in particular don't. And a lot of places, U.S. being one of them, have enough people to keep up with some of the demand. So the demand's there, but it's getting disrupted some.
Michael Glen: Okay. And then second question, just you talked about the potential margin profile on these as these EV platforms ramp, but on the other side of that, can you talk about the visibility do you have on what your margins on the legacy platform?
Rob Wildeboer: Well, they would obviously be dependent on volume and so forth, but the thought would be that they would be strong and they'd be mature products. We're anticipating some of these ICE platforms will likely get extended, which we view as a positive, because again they're mature platforms on which you’re making some good market margins on. So it's hard to tell how that transitions and takes shape. But we're comfortable with our current margin profile and we expect it to be similar if not even better as we get into the next transition to EVs and so forth.
Pat D'Eramo: Yes. I think you'll see the industry run in parallel quite a while. And if you look at the strategy behind a number of the OEMs, they're running EVs in some plants and they're continuing to run ICE in the other, and they're kind of -- they know they're not going to both hit the highest volume, but they're going to shift over time and we're seeing that. So if the ICE products last longer, I think that that's I don't see that as a negative at all.
Operator: Thank you. Our next question is from Brian Morrison from TD Bank. Please go ahead.
Brian Morrison: Good evening. Just want to circle back to that last question. When you talk about the margin profile, should we expect sequential improvement throughout the year? Is that the message?
Fred Di Tosto: That would be the expectation as supply chain disruptions subside and normalize and inflation starts getting more relief on inflation so forth that would be the expectation. Again, as Pat noted, it's really hard to predict. We're sitting right now how that kind of takes shape. But the expectations we progress throughout the year as some of these challenges improve.
Pat D'Eramo: I can say it's getting better quarter-over-quarter. It's not getting as this isn't good English necessarily, but it's not getting as better as fast as we thought it would. It's taking longer, taking longer.
Fred Di Tosto: And we're not -- and we're not necessarily the same because we got to work through the quarter. And some of these things are lumpy, including when there's downtime and that type of stuff. That Q2 will be better than Q1 and Q3 will be better than Q2. Q4 will be better than Q3. We think the trend line is up, as we've said. And there's a little bit of lumpiness in our industry and everyone's experiencing the same thing. We think we're in a good spot and we might have a quarter of it surprised it to the upside. And one that's a little down because of the timing of some different things, but trend line is in the right direction.
Pat D'Eramo: Yes. And then -- and some of the downtime we saw from some of our customers this past quarter or downright head scratchers, nobody saw them coming, including the customer. But some of the supply base has got some issues still.
Fred Di Tosto: Yes.
Brian Morrison: Great. Did the escape have a major impact on the quarter or -- and is that up and flowing for you again?
Pat D'Eramo: It -- the escape we supply from multiple plants in different parts of the world even and definitely was down longer than expected. And we've seen better performance from that product this quarter already.
Fred Di Tosto: And you'll note in our Investor Presentation, it is a top three platform for us, or it is a significant platform.
Brian Morrison: Right. That's why I asked. Thanks. And Pat, in terms of Europe, I'm not sure I caught the operating margin comment that you made. I think you said that it was down from Q4 due to lower customer settlements during the quarter and more recoveries anticipated through the year. Is that correct? And can you just --
Pat D'Eramo: Yes, it wasn't pretty much, it was pretty much and we got some very good tailwinds in Q4 for energy that didn't necessarily repeat this quarter to the same extent. We have seen some sales drop offs on some platforms and then we've seen some increases in others. But overall, it's sort of down, we expect that'll continue to smooth out. We're also launching a couple of our plants over there. Some I'd say multiple launches in the same groups. And some of that's just natural headwinds, but those will pass. But the volume has been bumpier over there than expected as well.
Brian Morrison: Has there been any change in the process of inflation pass-through?
Pat D'Eramo: I'm going to say on the big picture, no. On the typical arm wrestling, it's taking longer in some cases than it did before. But generally precedents were set; indexes were provided or agreed to. So there's a model to follow, but the environment changes too. So if you're negotiating something like energy with a customer and then Germany came out with a new program, then it creates a different type of animal that you have to wrestle through. And since it’s new, some of those things still are unresolved but will get resolved once everybody understands how to utilize the program. And it was intended to help customers and the supply base recover the high energy cost as an example.
Brian Morrison: Okay. Last question, Rob, you said you're going to be active with T&C. What is the driver of you getting active with this NCIB? Is it price? Is it leverage target?
Rob Wildeboer: Yes. Couple -- well, a couple of things, I think first quarter is negative cash flow is always is less negative cash flow this quarter than the first quarter of last year. I think we'll be in the market. But at the same time, we want to generate some positive cash flow too. I think you're looking at it from a shareholder perspective. If I was a shareholder, I'd say, I want to see the debt come down a little bit. I want to see some free cash flow. I want to make sure that you're taking advantage of some opportunities that you're taking advantage of and I want to see you buy back some stock. So how much we buy it, we will sit and have a discussion. We do think that valuation's compelling at these levels. And you might say, well, everybody says that when they talk about a normal course issuer bid, but we'll be buying some this quarter and as we buy it, we got to file basically on a daily basis so people can see that.
Operator: Thank you. Next question is from Peter Sklar from BMO Capital Markets. Please go ahead.
Peter Sklar: Sorry Pat, I know you've addressed Europe, but I just want to go back there because you kind of went from $10 million of operating profit in Q4 to zero. You talked about less commercial settlements in Q1 versus Q4. Is that what you mean by Q4 had a tailwind for energy, you had a like you had some settlements energy-related or -- okay.
Pat D'Eramo: Yes. Yes. So -- and it was spread out through because this was the first round of negotiation last year. So it wasn't just everything from that quarter, it was looking back over 2022 to some extent. So it wasn't like a hard and fast, this is what you get for the fourth quarter. It was depending on the customer and in different situations you had different negotiations. Then as you came into this quarter obviously energy's gone down some but the negotiations are ongoing, partially because the program that the government put in place to help this situation, people are still trying to consume it and understand it how it affects them through the negotiation. So we still expect to get recovery like we got last year, but some things are taking longer than they did in the fourth quarter of last year.
Peter Sklar: Okay. And then, in your commentary, I think you said there were some customer operating issues. What did you mean by that that there was more less volume or more unexpected downtime?
Pat D'Eramo: Yes, there -- and I've talked about this a little bit in the past, when you get unplanned downtime and it's not two weeks, three weeks, it's not -- you don't see it coming. You still have everybody sitting in the plant, so all of a sudden you're down, you go for a couple of days and then they pick back up again on note, let's work the weekend and make up some of the volume. So we wrestled through a lot of those issues this quarter again. We expected that to get better than the -- than last year. And it is, but it is taking longer to get leveled out than we anticipated. And I think you'll probably hear anybody in the supply base probably say something similar. They're expecting it to smooth out faster than it has, but it is getting better. I don't want to -- don't want to paint the picture that it's not, it's just okay guys, let's get on with it. But we don't see it coming sometimes and it's something we just have to wrestle through. And so there was, in this quarter there were certainly some -- some plants, customer plants that got unexpectedly hit with some downtime that wasn't planned. And it drives your cost up in the supply base.
Peter Sklar: Okay. So I -- like I think like you talked about that there like there are these supply chain issues. They're not primarily chips anymore. So what are these issues that these suppliers are having where they're shutting down OEMs like is it labor or --?
Pat D'Eramo: Yes. I would tell you as we've dug into it and talked to customers and you can't always get all the detail that you'd like to get, but I can tell you that there's still manpower issues especially in the U.S. There are some in some other countries too, especially in the rural areas, but in the U.S. it's particularly notable still. It's better than it was last year. So as the volumes come up, even though it's better, a lot of the smaller suppliers are ones that can't pay as much or in rural areas where there aren't as many people who are working are struggling to keep up. And of course, when they can't supply the Tier 1 supplier or if it's a Tier 1 supplier that's having the trouble, of course it affects all of us. And sometimes they don't see it coming because if the supplier is doing its best to try to keep the customer in parts, but they don't have enough people to manage the weekly volumes. So it's still a problem.
Peter Sklar: Okay. And in Europe, what were the disruptions there?
Pat D'Eramo: We've had, we saw some products drop-off. We've had launches and a couple of the plants, which that was expected that that would be in some inhibitions in that that's it's not like the launches during the pandemic where we couldn't move people around and have resources. But I would say its typical launch activity. And then of course, we didn't get the level of recovery that we had gotten in the previous quarter. We do anticipate we're going to get recovery but it's just taking longer.
Peter Sklar: And when you talk about launches, are you talking about like the drag in your plant because you're launching, or you're talking about the OEMs are launching and their production schedules are volatile?
Pat D'Eramo: Some of it -- it's us -- it's us launching, in some cases it's volume ups in a lot of cases or anticipated volume ups. It's interesting, if you start digging into Europe despite its drive toward electric vehicles, the ICE vehicles are actually doing pretty well. As long as it's not a car, if it's an SUV or something like that. So we're seeing a lot of different behavior than we saw last year even. But there are launches specifically on new products or additional volume on other products.
Peter Sklar: Okay. And so overall, like is this situation going to improve in Q2 or like can you make money in Q2 or is it going to be more?
Pat D'Eramo: Yes. I anticipate it'll that Q2 will definitely show improvement in Europe.
Peter Sklar: Okay. And then just one last question on a different topic, I just noticed like on a consolidated basis, your SG&A, which was about 75 -- sorry, $78.5 million, that's really up from the quarterly run rate of last year, which was kind of $70 million to $72 million. So was there anything in particular there? Or this is just cost inflating and this is what it is now?
Fred Di Tosto: Well, the biggest element of that you can point to actually our stock price because there's been a significant increase in our stock price. All the restricted share units and performance share units and deferred share units that are hanging out there saw a big mark-to-market bump. So that was I think close to $6 million in the quarter in Q1. So that was --
Pat D’Eramo: Yes. If we could -- if you drive the share price down, then that number would come down.
Fred Di Tosto: Yes.
Operator: Thank you. [Operator Instructions]. Our next question is from Krista Friesen from CIBC. Go ahead, please.
Krista Friesen: Hi, thank you for taking my question. Maybe just to follow-up on the labor comment, how are you finding labor for yourself? Are you having difficulties sourcing labor or is that okay?
Pat D'Eramo: We had, I would say we had more difficulty middle of last year and we put a lot of programs in place in the communities in which we have plants. We tend to have a decent reputation of being a good employer and having a decent culture and working with people in their particular areas like we have one community and one area that loves the work second shift. It's a particular culture within the town and so they are dominating a second shift and we work with them. Their holidays are different. So we manage around those kind of things. So we'll do those kind of things. We're working with a homeless shelter in Michigan and where we're taking people through a company that is run by one of our old general managers that to train homeless people, helped get them back on their feet and through his temporary service we put them to work. And we've actually had some really good success with that. So these are things that, you wouldn't have done, five years ago maybe, but we're pulling out the stops. We're seeing some pretty good success. We're big enough to be able to do those types of things, but smaller suppliers and smaller plants don't necessarily have the resources to chase all these types of things. And I think that's probably where most of these disruptions, but not all of them by any means are coming from. But we've really worked hard. We've got some really unique and innovative ways that we've brought people back to work, and we still have areas where we're short, but we're able to manage through them.
Krista Friesen: Okay. Great. And then I just wanted to ask a question on the OEMs, it sounds like most of the disruptions in the scheduler are supply chain, are labor-related, but have you heard of any ramping down just to control inventory like GM did earlier this year?
Pat D'Eramo: Yes. There's been -- there's definitely been some of that. So -- and I want to say that I'm speculating to some extent that it's a manpower problem because I'm hearing that noise in the system, but I haven't been told that by a specific OEM is suppliers don't have enough people. But from what I can see that's -- that's what I believe. Related to controlled inventory reductions, absolutely, we've seen some of it. And I think it's going to be interesting to see what happens in the OEMs because they're all doing a pretty good job of maintaining a low inventory, obviously keeping the prices up. I think we looked at a chart today was 36 days on average, where before the pandemic it was between 70 and 80 typically. So they're managing that down. The question will be when the first OEM throws money on the hood in the past, it tended to be a follow situation and then they start pulling more product. We haven't seen that happen yet, but at some point that may very well happen. And then I think you'll see things maybe never go back to where they were before, but certainly head that direction a little bit where you're discounting cars and so forth. But right now they've done a pretty damn good job of maintaining that low inventory and keeping the prices high and you can see it in their results.
Operator: Thank you. There are no further questions registered at this time. So I'll turn the meeting back over to Mr. Wildeboer.
Rob Wildeboer: Thanks very much. Thanks for very much for taking time on a playoff night. We had a great quarter, record EBITDA, high operating income, improving debt to EBITDA ratio and record sales. And that's a good position to be in. We look forward to the future. We're very, very bullish about our industry and our place in it. If any of you have further questions or would like to discuss any issues concerning our company, please feel free to contact us and goalies go tonight. Thank you.
Operator: Thank you. Your conference has now ended. Please disconnect your lines at this time and we thank you for your participation.